Operator: Good day, everyone, and welcome to LATAM Airlines Group Earnings Release Conference Call. Just as a reminder, this conference is being recorded. LATAM Airlines Group earnings release for the period was distributed on Thursday, May 14. If you have not received it, you can find it in our website, www.latamairlinesgroup.net, in the Investor Relations section. At this time, I would like to point out that statements regarding the company's business outlook and anticipated financial and operating results constitute forward-looking comments. These expectations are highly dependent on the economy, the airline industry and international markets. Therefore, they are subject to change. Now it is my pleasure to turn the call over to Ms. Gisela Escobar, Senior Corporate Controller and IR Officer of LATAM Airlines Group. Ms. Escobar, please begin.
Gisela Escobar: Thank you very much, and good day, everyone. Thanks for joining our call. We are here with Andrés Osorio, who's the CFO of LATAM Airlines Group; and we're also joined Roberto Alvo, who's in charge of the International Passenger Operations; Andres del Valle, who's in charge of Corporate Finance; and from Brazil, we are joined by Cláudia Sender, who's the President of TAM. We will begin the presentation if you go to -- I also want -- we're just being joined by Álvaro Carril, who's in charge of the Cargo Operations. If you turn to the slides on our webcast presentation, looking at that first slide that we have, we wanted to first mention that during the second quarter, we obviously have a lot of updates and a lot of news. But we have made significant progress on various different strategic fronts as we continue to consolidate our leadership position in Latin America. This includes the launch of our new brand. It includes the completion of a couple of important financing transactions, the continued development of our hubs and important progress in terms of our cost efficiency and cost reduction programs. Nonetheless, as you know, during the quarter, we have seen the macroeconomic situation in Latin America become increasingly more challenging, especially in Brazil. And this has impacted our results and is visible, as you can see, in our second quarter numbers by declines especially on our total revenue lines in both the passenger and the cargo operations. When we look at the situation in Brazil, we have numbers that have gotten increasingly worse. We are seeing today estimates of approximately 1.5% declines in GDP inflation that's at over 9% and continued devaluation and continued volatility of the Brazilian currency. So all of that has resulted in the airline industry in Brazil as a whole suffering from declines in demand. As a result, we have made certain adjustments to our domestic network, which we have already announced. And we have also reduced our guidance for the year in terms of EBIT margin, which we'll also discuss in more detail. But we have basically published a reduction in our expected EBIT margin for the full year 2015. I think it's important to note that we have seen outside of Brazil that our operations continue to show improved profitability versus last year. We've seen some impacts obviously on the revenue side from currency devaluations. But we have also seen the benefits from cost efficiencies and fuel price reductions. So as a whole, these improvements in profitability have allowed us to offset in part the negative effects of what we are seeing in Brazil. If you turn to Slide #3 of the slide deck, this is a summary of the numbers that we published for our second quarter results. Basically, we have seen a significant decline on the revenue side. Revenues are down 20.8% in the quarter compared to last year: 21.8% on the passenger side, 21.3% on the cargo side. This is offset by a very significant reduction on the cost side of also 21%. That cost reduction is being driven by lower fuel costs as well as by our cost efficiency initiatives and by the positive effects that we have from the devaluation of local currencies on our costs that are denominated in local currencies. As a result of all of that, our operating income is up 12% in the quarter. Our operating margin is showing a slight improvement versus the second quarter of last year. And our net income is 15 -- our net loss, I will say, is lower than what it was in the second quarter of last year. If we turn to the next slide, which is Slide #5, we can look a little bit in more detail at the passenger revenue line. What we can see here is a that, overall, our capacity was up during the quarter 2%. That was driven mainly by growth in the Spanish-speaking countries' domestic operations, those are the 5 domestic operations that we have outside of Brazil, and also by a 3% growth on the international route. When we look at international operations, our capacity is up 3%, traffic is up 2.1%, load factors are very strong at 84.5%. And we have seen a decline of 15.9% in terms of revenue per ASK, most of which is being driven by a decline on the route to and from Brazil, both on long-haul and regional operations. When we look at the domestic Brazil operations, which is approximately 1/3 of our total capacity, we have cut capacity during the second quarter in domestic Brazil by 0.5%. Our load factors are 79.5% and our revenue per ASK decline is 34%. That 34% is in U.S. dollar terms. If we look at our revenue per ASK decline in Brazilian reais, the decline is 12%. That's driven mainly by a decline in the corporate travel demand. And in addition to that, we have the 36% devaluation of the Brazilian real on average during in the quarter, which obviously impacts the number when we look at it in U.S. dollar terms. When we look at the 5 countries that make up our Spanish-speaking domestic operations, there we are growing at a rate of 4% in the second quarter. That growth is being driven mainly by a growth in Peru and in Colombia. And overall there, our revenue per ASK decline is 7%, which is basically fully explained by the devaluation of the local currencies, especially in Chile, Peru, Colombia and Argentina. In Chile, Peru and Argentina, the devaluation of the currency versus last year is in the range of 10% on average. In Colombia, we had a very strong devaluation of 28% in the quarter. When we look at the revenue per ASKs in local currencies, the revenue per ASK is improving in Chile, in Peru, in Argentina and in Ecuador. So in these markets, we are seeing improved profitability with respect to what we had in the same quarter of last year. Turning to the cost side. As you know and as we've already announced, we are working on a very significant cost efficiency program. Our target there is a reduction of $800 million in terms of total costs to be achieved during the next 3 years to reach the run rate by 2018. What we've seen in the second quarter is in line with our target in terms of this cost saving plan. If we look at our total cost for the second quarter, you can see that we had a 14% reduction of costs on the wages and benefits side. This was driven by a 1% reduction in our average headcount for the quarter, which is about 570 FTEs lower on average than what we had in second quarter 2014. And this is despite the fact that we grew in ASKs 2% in the second quarter compared to last year. On the aircraft cost side, we have costs remaining relatively flat. We have reductions in depreciation costs and reduction in aircraft rentals and slightly higher cost on the maintenance side, mainly driven by the redelivery of certain aircraft during the quarter. And then in terms of all the other costs, we have a total reduction of approximately 21%, where we are seeing a portion of this driven by the devaluation of the local currencies, which reduced the cost denominated in local currencies by reduced sales cost and reduced rental and landing fees as well. So overall, if we look at our total operating cost ex fuel, we see a very significant reduction of almost 14% during the quarter in terms of total costs per ASK equivalent. In addition to that, we have the benefit of lower fuel costs. Fuel costs were down by approximately 34%, which was a total savings of $637 million in the second quarter compared to our fuel bill in the second quarter of 2014 -- of $352 million compared to fuel costs that we had last year. So with that, our total operating cost per ASK equivalent was almost down 21% in the quarter. We wanted to mention briefly an update in terms of our strategic initiatives that we have already mentioned. Part of it has to do with the cost reduction, which I think we've already discussed. But I also wanted to talk a little bit about the progress that we've made in terms of our customer experience and the focus that we have on improving and continuously improving up the customer experience of LATAM Airlines Group and also in terms of the development of our network. Turning to Page 8. You can see that we continue to strengthen our network and we continue to focus on providing our passengers with the best connectivity within South America as well as traveling to the region and from the region abroad. To that end, we have launched a series of new routes during the second quarter and we have also announced new routes during the second quarter to be flowing over the coming months. These routes, which are here on the slide, are basically focused on strengthening the hubs that we have at Lima; the Brasilia hub, where we've added flights from Brasilia to Orlando and Brasilia to Buenos Aires in recent months; and also our main hub at Guarulhos Airport in São Paulo. And with this, our objective continues to be to strengthen the network and to build the strongest network in South America. A very important milestone that we had a couple of weeks ago and that has made us very happy to finally announce the new brand, which is -- we announced on August 6, and this is -- we're unifying the LAN and the TAM brand under a single brand, which is LATAM. This will be a gradual process that will take place over the next 3 years. But you'll see during next year, during 2016 especially, already the phasing out of the LAN and the TAM brand. And you'll see LATAM appearing at airports, at airport counters and sales offices and basically in different points of contact where the company operates as we gradually phase out the LAN and TAM brand and establish LATAM as a single brand for the group. This new brand will include the most valued strength and the main attributes that LAN and TAM has built over their respective history. Turning to Page 10. We also wanted to mention the progress that we've made in terms of launching a new aspect of our passenger experience on the continuous improvement that we are making in terms of passenger experience. We've unified the counters to have single check-in already at 10 of the main airports where we operate. So we have -- we no longer have separate check-ins for LAN and TAM, but a single counter where you can check-in for both LAN and TAM. We also are testing a self-service, self-bag tag for a faster bag drop process at 2 main airports in Brazil. In terms of digital solutions, for contingency management, we've launched Live Chat and a Flight Status app. And we have also continued with installing the wireless in-flight entertainment system for personal devices. We already have this installed at 68 of our A320s. And we expect all of our A320 fleet to have this in operation by the first quarter of 2016. Also very significant is the improvement in terms of on-time performance that we continue to see throughout our network. Especially if you look at our domestic Brazil operations, we are at record levels in terms of punctuality with the 15-minute standard. Including all of the domestic operation in Brazil, the punctuality levels are almost at 91% with the 15-minute standard. They're at approximately 90% in the Spanish-speaking countries and close to 85% in all of our international networks. Regarding our hedging strategy both for fuel and for FX. We currently have hedged approximately 42% of our estimated fuel consumption for the next 12 months. So this is for the period between July 2015 and June 2016. With the breakdown that you can see there on the quarter, we are 50% hedged for the second semester of this year in terms of our estimated fuel consumption, and then on a declining basis for the first quarter of 2016 and reaching a 10% hedge for the last quarter of 2016. And regarding our exposure to FX. We have, as you know, more revenues than costs denominated in Brazilian currency. Therefore, we have a long position, so to speak, in terms of Brazilian reais when we look at the exposure of our operating results to the devaluations of that currency. We hedge the totality of that exposure. We have $310 million hedged for the second half of this year at an average of BRL 3.20 per dollar. During the second quarter, we completed 2 important financing transactions. We issued our first unsecured bond for $500 million. And we also completed the issuance of a $1 billion EETC issuance to finance aircraft deliveries until March of 2016. With that, we have financed approximately 57% of our fleet commitments for 2016 and we've also improved our leverage ratio and cash position, as you can see here on the slide. We are currently at a net leverage of 5.1x and our cash is approximately 14% of last 12 months' revenue. Looking at our fleet plan, which is on Slide #13. You can see the fleet plan that we have for this year. We expect to end this year with 329 jets, and for next year 2016, to end the year with 336 aircraft. Basically, this fleet plan is relatively unchanged. I think, there's a slight reduction in terms of our total fleet commitments versus what you saw last quarter for 2016, mainly as a result of the delayed delivery of 4 aircraft into 2017. But other than that, the fleet commitments remain more or less the same. We have a significant turnover of aircraft. What we are doing is phasing out older aircraft in our fleet and incorporating newer and more modern and more efficient aircraft. And so here you can see that we are growing from 21 A321s to 48 A321s in 2016 and we are growing from 10 787s that we had at the end of 2014 to a total of 22 787s and also 7 A350s at the end of 2016. So a significantly higher proportion of our fleet will be newer and more efficient aircraft, which is also resulting in a lower and more efficient fuel consumption for the company and also an improved passenger experience as these aircraft come with the renewed cabin interiors and also with the unified interior cabin that we have designed for LATAM Airlines Group. Finally, the last slide shows you our current guidance. The main change here in terms of passenger capacity growth has to do with a reduction in our Brazil domestic capacity guidance. We were previously expecting to be flat for 2015 in terms of total capacity and our current estimate is to have a reduction of between 2% and 4% of our ASKs in the domestic Brazil routes, which will occur in mostly in the third quarter and in the fourth quarter, reaching up to an 8% to 10% reduction in the fourth quarter versus last year levels. Our capacity guidance for the international and the Spanish-speaking countries remains the same. And our capacity guidance for cargo also remains the same with an estimated reduction of up to 2%, driven mainly by the reductions that we are doing in our freighter capacity, offset in part by the growth that we are seeing in the bellies of the passenger planes as a result of the growth in international operations. Also here, and mainly as I mentioned earlier, as a result of the outlook that we have for Brazil, we have reduced our operating margin guidance from our previous 6% to 8% to 3.5% to 5% for the full year 2015. That completes the prepared remarks that we had. And we will be happy to take any questions that you may have.
Operator: [Operator Instructions] And our first question is from Bernardo Velez from GBM.
Bernardo Velez Diego Fernandez: I was wondering and trying to match -- I don't know if you saw the capacity guidance update by Gol and to see how that relates to your capacity cuts. Meaning if competitors in Brazil continue dropping capacity in the upcoming months and probably onto 2016, what should be we expect from domestic capacity by TAM?
Cláudia Sender: Well, we cannot talk about competitor strategy, so -- this is Claudia, by the way. I'm going to talk about our strategy. We have reduced capacity because we saw significant potential in some of the routes, and this is what we have done. And we're keeping -- we're maintaining our plan that we've announced 3 weeks ago. Of course, we're always flexible, looking ahead with what's going to happen with the demand and with the overall market. But we believe in what we have -- that what we have announced 3 weeks ago is the right measure for how big the market or how big the demand is forecasted to be in the second quarter. Therefore we believe that there will be -- second half of 2015. But we believe that this will help us somehow fuel a recovery in yields. And because the demand will be much more matched, the capacity would be much more matched to the demand.
Bernardo Velez Diego Fernandez: Okay, perfect. And regarding the flexibility of your fleet commitments for 2016, could you comment on what changed from last quarter to this one? And what could continue changing if you decide to further reduce capacity in Brazil?
Roberto Alvo Milosawlewitsch: Sorry, the question is regarding fleet or capacity, in particular?
Bernardo Velez Diego Fernandez: The fleet commitments.
Roberto Alvo Milosawlewitsch: Okay. So with respect to last -- this is Roberto Alvo. In respect to fleet coming from last quarter to this quarter, we are basically for 2016 delaying 3 single-aisle aircraft and 1 wide-body aircraft. We do not expect any other movements that are significant for 2016, also for 2017 and 2018 onwards. As it was said in the press release, we're currently looking at delaying the delivery of a certain number of wide-body aircraft that has yet to be defined. And if we end up doing this, we'll communicate that to the market in time.
Operator: And our next question is from Duane Pfennigwerth from Evercore.
Jeffrey Reisenberg: This is Jeff Reisenberg in for Duane. So on you margin guidance, I assume that some of that margin that you projected at 3.5% to 5% is tied to the domestic capacity cuts. Can you comment on where operating margin would be if not for those contemplated cuts?
Gisela Escobar: Well, it's not significantly impacted by the capacity cuts. As Claudia mentioned, the logic of doing the reduction in capacity is to better adjust the existing capacity to the current levels of demand. So I think the main reason for the decline in guidance has to do with the weaker demand environment in Brazil as a result of the current macro scenario. And part of the response to that was our adjustment of capacity in the domestic market versus what we had previously planned.
Jeffrey Reisenberg: Got it, okay. And then I think you also mentioned that you had grown Colombia capacity in the quarter. And I think one of your competitors had described demand weakness and some of the same foreign exchange pressures. So I guess, could you comment if your experience if there's that variance or if the Colombia trends are holding up for you guys?
Gisela Escobar: Well, the dynamics in the Colombian domestic market this year, the market in general has already last year posted significant double-digit growth in terms of capacity. And for this year also, the industry as a whole is growing at levels of between 15% and 17% in ASK. So we are in line with that. And that has obviously led to some pressure on yields. And what we are seeing now as of the last few months in addition to that -- I mean, this growth was basically a response to an opportunity that the industry was seeing to grow capacity in this market. And what we had seen in Colombia was a very healthy demand level because of the economic situation in the country. Now we are seeing a negative impact in terms of our revenue per ASK in local currencies also a result of the devaluation of the currency. The Colombian currency, as I'm sure you know, has devalued almost 30% in the second quarter. So we are looking at what impact that's going to have for our capacity growth plans for the second half. We may -- already in terms of on a comparative basis, we had a lot of growth in the second half of last year. So the second half of this year, we'll grow less than the growth that we had in the first half. And also I think it's important to mention that Colombia for us still is a very small domestic operations, still a relatively small part of our total network.
Jeffrey Reisenberg: Great. If I could stick one more, at current levels, are you having any discussions or having appetite to buy back stock?
Gisela Escobar: Well, in Chile, the stock buyback programs are not really -- you can't implement them the way that you can in the U.S. There are certain restrictions in terms of being able to do stock buybacks. And also you can't do stock reductions. So if the company does stock buybacks, you have to do it for a specific purpose and you can't reduce those shares. You have the obligation to sell them back into the market within a very limited time frame. So unfortunately, it's not a tool that we can use in the way that companies can use in other markets.
Operator: And our next question is from Victor Mizusaki from Bradesco.
Victor Mizusaki: I have a couple of question on yields. First, I mean, can you give more granularity on what happened with yields in the second quarter? I mean, if you can give a breakdown on what happened in the April, May and June. And given that you already released your top figures for July, can you comment on what happened in July with yields and what you can see in your forward booking?
Cláudia Sender: Victor, do you mean Brazil overall? Do you have any specifics?
Victor Mizusaki: Yes, Brazil.
Cláudia Sender: Of course, all right. So what we have seen -- and I'm not going to break it down by month. But I'm going to tell you a little bit of the trend that we've been seeing. July is a month where we finally start seeing a slow pickup. I think it's too early to say that it's a structural recovery in the level of yields. But we have seen some pickup in the last weeks of July and the first week of August. So we believe that it could potentially be a trend.
Victor Mizusaki: Okay. And if you think about international, I mean, for example, is there any specific month in the second quarter that was really weak and forced the company to reduce guidance for the full year?
Roberto Alvo Milosawlewitsch: No, there is no significant difference between the months in the quarter. And the dynamics of yields are pretty much the same that you've seen in Brazil. The situation in Brazil is an industrial situation more than an issue of domestic versus international.
Victor Mizusaki: Okay. And just last question, I mean, because we've reduced capacity production, basically, I mean, your company is expecting that yields will have a positive reaction, right, I mean, you do rebound in the second half. But I mean, is there any plan for LATAM if yields did not respond?
Cláudia Sender: Victor, I think we're following the market very closely. As I said before, we do believe that the adjustment that we've announced will be enough to adjust capacity to current levels of demand. Of course, there's so much uncertainty in the market that we have to be flexible and agile to respond to any changes that happen. So if the market happens to pick up and we have a higher level of confidence in the market, we can respond quickly and we are able because we're such a big group. We have some more flexibility to respond to that level of demand quickly. And on the other hand, if the market continues to deteriorate further than what we've announced, we also have the flexibility to change what -- to adjust more the capacity to the demand. However, we don't think that this will be necessary in the short term.
Operator: And our next question comes from the line of Mike Linenberg from Deutsche Bank.
Michael Linenberg: Just a couple of questions here. I guess, to Claudia, the capacity cut this year, domestic Brazil is down 2% to 4%. I guess, by the fourth quarter, it's down 8% to 10%. I want to just confirm, is that -- when the press release came out a few weeks ago and it talked about you cutting your domestic footprint in Brazil by 8% to 10%, will we be there by the fourth quarter? For some reason, I thought it was going to be more gradual and it would occur over several years. But it sounds like we're going to be there by the fourth quarter. Is that right? Or am I interpreting that correctly?
Cláudia Sender: Yes. We will get to 8% to 10% by the fourth quarter of this year. We have already -- if you look at the schedule that was published for the next few months, it is gradual. It's been decreasing capacity month-over-month. And this is the level that we will achieve by the end of the year. Having said that, I think it's important to remind a few things that we have mentioned when we announced the capacity cut. First, we're not leaving any of the bases that we've -- or the airports that we currently serve. So we're still covering the same percentage of the domestic flows. And second, we're leveraging our most important hub, which is Brasilia. Therefore, we can still guarantee a very, very efficient coverage of the domestic flows. So although we are reducing our capacity, our overall capacity, we're still leveraging one of our key assets, which is the connectivity through the Brasilia hub.
Michael Linenberg: Okay. And then just -- when I think about 8% to 10% by the fourth quarter and it's gradual, for 2016, your domestic capacity in Brazil, just rough numbers, because it sort of occurred through this year or the latter part of this year, are you going to be down, what, 5% to 6%? Is that kind of the right range to think about how much smaller your next year in Brazil?
Cláudia Sender: We're still working on that forecast. We're not ready to release a forecast for next year yet, I'm sorry.
Michael Linenberg: Okay, not a problem. And then just a last question. And maybe, Gisela, this is for you. I look at the market values of Multiplus and Smiles and you look at the market cap of the airline, and you can see just such a huge disconnect out there. Have you -- is there a point where you start rethinking LANPASS and where LANPASS fits in all of this? And especially if you are now moving to a single brand, the LATAM brand, where do things stand now what as it relates to the TAM Fidelidade and the LANPASS program as you move to a single brand? Do we see any sort of combination there? Just your thoughts on it.
Roberto Alvo Milosawlewitsch: Mike, this is Roberto Alvo. Of course, we're always looking at -- of different alternatives for doing several things in the company. At this moment, we have not changed our decision into how we will continue with both Multiplus and LANPASS. We are increasingly merging the features of our both frequent flyer programs. So during the course of the second semester and into next year, some of the features will be harmonized. But we will still have 2 collisions for the time being and 2 frequent flyer program mix.
Michael Linenberg: Okay. And then if I could just squeeze in one last one, where are we on the front? As we move toward Open Skies, U.S. and Brazil, I mean, that kicks in, I think, in the next couple of months. I think it's October, I could be wrong. Have we -- have you put out any sort of -- have we seen any sort of press releases? Or is there any going on with you and American and about potentially seeking antitrust immunity?
Cláudia Sender: Mike, as we mentioned, we're still waiting for the rectification from the Brazilian government about the Open Skies agreement, which should happen by October. That's the deadline. So we're waiting for that until we can announce anything.
Operator: And our next question is from Renato Salomone from Itaú Bank.
Renato Salomone: On the international market, we haven't seen, by the industry, especially between Brazil and the U.S., any adjustments in capacity. And when I look at -- you've added, if I'm not mistaken, in the first half of the year about 2.5% ASK in the international market and your guidance is 4% to 6%. Is there any chance that you revise that as well? Does that concern you that the market is not adjusting in the U.S. -- in routes between Brazil and the U.S.?
Roberto Alvo Milosawlewitsch: This is Roberto Alvo. So a couple of things. First, I think it's important to see what the airlines were announcing 6 months ago or a year ago in terms of growth in Brazil and what they're publishing today. So yes, there hasn't been a decreasing supply. But I think there's been a significant decrease in the growth that was projected into Brazil for 2015. So the adjustment is probably not with respect to the base but definitely with respect to future plans of many carriers. The 4% to 6%, remember, it's the whole international passenger business, which has approximately 50% of its capacity in Brazil and 50% of its capacity outside Brazil. So here, you're looking at the blended number between what we expect to grow in both Brazil and outside Brazil. So we're confident that we don't see that we need to make any important change to the guidance we've made of 4% to 6% at this point in time.
Renato Salomone: Okay. And in the international, what do you have of aircraft -- wide-body aircraft deliveries scheduled for the remainder of the year and for the first half of that you won't be able to change, that there's nothing you can change?
Roberto Alvo Milosawlewitsch: So I will not comment on our ability to change. I will tell you the deliveries we have. We still have pending 3 787-9 deliveries and the first A350 delivery by the end of the year. And then next year, we have 6 A350 deliveries and 5, I think, 787 deliveries. We are phasing out all of our 330 fleet. Today, we have 10 330 airplanes. So in terms of number of total airplanes, we are basically flat.
Renato Salomone: Okay. And a quick follow-up, can you -- you mentioned the percentage of a fuel consumption hedge. Can you give us the average prices you have for the second half of the year and for 2016?
Andres del Valle: No, we -- Andrés del Valle here. We typically do not provide the prices which we are hedged because, of course, of market reasons.
Operator: And our next question is from Stephen Trent from Citigroup.
Stephen Trent: Most of have been answered, but just a few follow-ups, if I may. And forgive me if I missed if you've already said this. But on Brazil, understanding that the capacity drawdown that you guys mentioned, have you -- any further color as to where you're going to redeploy that, if you're allowed to tell me if some are going to be subleased or you're going to put them into the markets? And what's the idea there?
Roberto Alvo Milosawlewitsch: This is Roberto Alvo again. So just a couple of comments on that. We have significant wide -- a single-aisle flexibility in terms of fleet. So approximately 5% to 7% of the fleet expires every year or is phased out because of aging. So we'll retain a high degree of flexibility of either returning planes or maintaining those planes as we go ahead. And we also have an important level of flexibility between moving aircraft from the TAM side to the LAN side by switching operations that we do currently today with both carriers. So we don't see any -- we don't have any particular concerns with respect to our single-aisle flexibility -- single-aisle fleet flexibility, given -- or issues given the flexibility that we have.
Stephen Trent: Okay, very helpful. And with respect to the fleet, I recall that you guys were in this phase for a while to take the TAM aircraft and move them on to the balance sheet in Santiago. And could you just refresh my memory where that stands?
Andres del Valle: Yes, we have made a significant improvement on that front. I think the balance sheet, that the TAM's mismatch on the balance sheet, driven by [indiscernible] abilities is down to below $1 million. So I think we have moved already the majority of the aircraft at those -- the financed leases, commercial financings and/or ECA financing. And still a few aircraft that we moved up, but that we are in the process and the process is expected to be completed within this year.
Stephen Trent: Okay, great. And just one last question. It might be a question for Claudia. Sorry to bombard you here, Claudia. Just curious, the Brazilian airlines have been fairily active in the past several quarters, this ABEAR association, I'm probably mispronouncing it. And now we're seeing potential changes in payroll taxation and fiscal fees [ph] and what have you. And any sort of broad color how active ABEAR is in having discussions with the government? Or is the current situation just too volatile that dialogues declined versus where it was last year and the year before?
Cláudia Sender: Stephen, you pronounced it correctly, it's ABEAR. But the association has been fairly active. I think as all of the industry entities have been trying to somehow mitigate the impacts of the new taxation, and I think we've been quite effective on that. It's still too early to tell though. All of the measures that you've mentioned are still going through Congress. So it's kind of hard to understand what will be the final picture. But what we're trying to do as an industry is to calculate and expose and explain in a fairly simple way what is the impact that this has on us in a moment where there are so many macroeconomic variables that are also in place. I think one of the examples of how ABEAR has been very effective is in the definition of what we call the [indiscernible], the crew productivity revisions log, where we have come to an agreement with the union through Congress to a much more palatable regulation going forward, which is also still transiting through Congress and still yet to be defined. But it's much more reasonable terms than the original proposition that we had on the table.
Operator: And our next question is from Daniel Guardiola from LarrainVial.
Daniel Guardiola: I have a very brief question. I would like to touch on the fleet commitments. I saw in your second Q '15 report that 2016 commitments were cut by $340 million [ph]. And I would like if you know if you could please comment with us from which sources are you expecting to fund the $2 billion commitments for 2016 in an environment of depressing yields.
Andres del Valle: Yes. For 2016, as the press release commented that we have already financed 57% of that total. And those are the commitments. Roughly 50% of that is going to be done through operating leases and 50% of that through finance leases. So what's yet to be financed for 2016 is approximately $1 million. And we've already issued the RFPs for the operating leases. And the next 2 or 3 weeks, we will launch our RFP for finance leases. And the first aircraft to be financed, which is not financed yet, is delivered in April next year. So we have, number one, ample time to do those financings; number two, we have all the markets open, both our capital markets, ECA support loans and commercial loans as well.
Daniel Guardiola: And just a follow-up regarding that, if necessary, now how much could you further cut to these commitments for 2016?
Andres del Valle: How much of -- I'm sorry.
Daniel Guardiola: By how much could you further cut to the commitment for 2016?
Andres del Valle: I think we already commented that on the flexibility for 2016, what has been said already, that we postponed 3 narrow-body and kept 1 wide-body aircraft. This is what we have done so far and we cannot comment further on 2016.
Operator: And we have a question from the line of Marcio Prado from Goldman Sachs.
Marcio Prado: I will just like to make a quick follow-up question on the jet fuel hedge. I heard your comment that you're not going to comment on the average price. However, we have seen a large increase in terms of the hedging levels. If I'm not mistaken in first Q, the company was at around 30% to 35%, now the company is at above 40%. So can you comment on the timing with regards to the implementation of this increase in the hedging levels if this was spread throughout the second quarter or if, in fact, not only second quarter but also third quarter?
Andres del Valle: For the third quarter of this year, we had set up the last legacy hedge that was taken a day before. And for this year, as Gisela commented, we have a total for the next -- from today through Q4 upon next year 2016, the total is roughly 33% of consumption hedged. For this year, it's roughly 50%. Of the next 12 months, it's roughly 40%. This is in line with the current policy for which we typically have for the nearby quarter, which is in front of us. 50% of [indiscernible] hedged, and then on a declining scale going forward. So it's something we have seen substantial, I mean, changes in level of hedging policy. That's roughly the same as we have done in the past.
Marcio Prado: Just on that front, what are the hedging level in first Q that you have disclosed for the next 12 months? Wasn't it close to the 30% level? That's why I mentioned the higher hedging level.
Gisela Escobar: Yes, I think your point is that we have taken a lot of these hedges, especially the 2016 hedges during the past 3 months. That's correct. And that's in line with what Andres was mentioning. It's in line with our policy of always looking to hedge out for the next 4, 5 quarters. So we have seen now during the past 3 months, the opportunity to start building our position out until the fourth quarter of 2016.
Operator: And we have a question from the line of Ricardo Fernandez [ph] from Aero America [ph].
Unknown Analyst: A very brief question, if we assume that you're [indiscernible]
Operator: Ricardo, your line is breaking up. [Technical Difficulty]
Unknown Analyst: The question is if we assume the low end of the guidance range, 3% EBIT margin and you made -- will that allow you to maintain your CapEx, your funding even into 2016, assuming a very low margin? Or do you think you'll need to do something on either capital raise or asset sales?
Gisela Escobar: No, we don't foresee the need to do that at this point. As Andres mentioned, we have already financed more than half of our fleet commitments for 2016. And the remaining are already in process.
Unknown Analyst: Okay. So even at the low end of cash -- we'll call it cash generation of 3% or so, you're confident that you can go through the end of 2016 with the CapEx that you have?
Gisela Escobar: Yes.
Operator: And I'm not showing any further questions. I will turn the call back to Ms. Gisela Escobar for any final remarks.
Gisela Escobar: Well, thanks, everyone, for your participation in today's call. If you have any follow-up questions, we are available here at LATAM and through the IR department to take any questions you may have. Thanks a lot, and have a good day. Bye.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes the program, and you may all disconnect. Have a wonderful day, everyone.